Operator: Good morning and welcome to the Erie Indemnity Company's Second Quarter 2015 Earnings Conference Call. I would like to introduce your host for today's call, Scott Beilharz, Vice President of Investor Relations. Please go ahead, sir.
Scott Beilharz: Thank you, Ashley, and welcome everyone. We appreciate you joining us for today's discussion about the second quarter 2015 results. Joining me today are Terry Cavanaugh, President and Chief Executive Officer; Marcia Dall, Executive Vice President and Chief Financial Officer; and Sean McLaughlin, Executive Vice President, Secretary and General Counsel. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com. As we typically do, we’ll start the call today with opening remarks from Terry and Marcia and then we will open the call for your questions. Before we begin, I would like to remind everyone that today’s discussion may contain forward-looking remarks that reflect the company’s current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the Safe Harbor statements in our Form 10-Q filing with the SEC dated July 30, 2015 and in the related press release. Also during this call, we may discuss non-GAAP measures. A reconciliation to the GAAP-based results can be found in our Form 10-Q that was filed with the SEC yesterday. This call is being recorded and recording is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. A replay will be available on our website today after 12:30 PM Eastern Time. Your participation on this call constitutes your consent to recording, its publication, webcast and broadcast and the use of your name, voice and comments by Erie Indemnity. If you do not agree with these terms, please disconnect at this time. With that, I will now turn the call over to Terry.
Terry Cavanaugh: Thank you Scott and good morning everyone. Before I talk about our second quarter results I would like to take a moment to recognize the passing of two members of our Erie family; John Peterson and Susan Hirt Hagen. John Peterson passed away on May 30th of this year. John joined Erie in 1962 as the company's first Investment Officer and then went on to serve as Chief Financial Officer and eventually President and CEO, After retiring in 1995 remained with Erie serving on the Board of Directors until 2003. John will be fondly remembered here at Erie for his personal generosity as well as his contribution to the financial growth of the company during his tenure. Erie suffered another profound loss with the passing of Susan Hirt Hagen on June 15th. Susan was the daughter of our cofounder H.O. Hirt and the co-trustee of the H.O. Hirt Trust. She was also the first female and longest-serving Board Member of Erie Indemnity Company. Susan gave tirelessly to the Erie. Furthermore her generosity of time and talent stretched far beyond our walls. She touched many across the country and she served in leadership positions on a number of boards of local, state and national nonprofit organizations over the years. Susan is best remembered here at Erie for her conviction, compassion and intellect that helps form the very fabric of the Erie culture. She will be fondly remembered and sadly missed by all of us. Earlier this month Jonathan Hirt Hagen was appointed to succeed his mother as co-trustee of the H.O. Hirt Trust. Jon joins his cousin Elizabeth Hirt Vorsheck and Sentinel Trust Company as co-trustee. As you have seen from our second quarter financial release yesterday, Erie Indemnity had a solid quarter with strong top line growth, a modest increase in our management margin dollars and additional earnings from our alternate asset portfolio. As a result we reported net income per share increasing from $0.94 last year to $1.07 per share in the second quarter of 2015. Our top line growth was driven by 7.6% increase in direct written premiums from the exchange. We are pleased with this growth in light of accounting's forecast of 3.8% for the industry this year. Our ability to outpace the industry growth speaks to both the strength of our brand and the commitment to the -- and excellence of our agents and employees. Regarding our strategic initiatives we introduced three new product enhancements in the second quarter of this year that will improve the customer and agent experience. First our improved motorcycle coverage rolled out in Pennsylvania. This is a strong product by virtue of its significantly enhanced pricing, optional first party medical coverage and new safety equipment and accessory coverage. This enhanced motorcycle product will allow our agents to better compete with the national and specialty carriers. We will continue to roll out this product in additional states within our footprint later this year. Second in Commercial Lines we continue to target specific business classes with what we call our Custom Collections portfolio. As you may recall we initially offered this suite of enhanced products to restaurant business owners. Since the beginning of this year the number of new restaurant policies has already surpassed the total number of new policies in all of 2014. In the second quarter we expanded our Custom Collection to include wholesalers and distributors. The expansion to the auto services class and veterinarian pet care classes are on track for rollout later this year. And third, Erie Family Life expanded its whole Life portfolio by rolling out a new juvenile whole life product that provides simple and affordable coverage. We remain committed to investing in technology to ensure we can offer the best customer and agent experience possible. As an example we recently rolled out our enhanced online auto quote. This new streamlined mobile friendly capability will meet the digital demands of our customers while improving the overall agent experience for responding to an online quote. I will now ask Marcia to expand on our financial results. Marcia.
Marcia Dall: Thanks, Terry. As Terry said we had a solid second quarter with net income per share on a diluted basis increasing $0.13 per share to $1.07 in the second quarter compared to the same period last year. We continue to generate some growth in our just written premiums from the Property and Casualty Group which resulted in a 7.4% growth in our revenue from management operations. Our agents helped drive solid increases in both policies in force and average premium per policy on all of our major product lines. We saw policy growth of 4% in both personal lines and commercial lines and our overall average premium per policy grew nearly 4% as well. As Terry said our abilities outpaced the industry growth speaks to both the strength of our brand and the commitment to excellence of our agents and employees. Our focus on enhancing our products and the investments we've made in technology to make it easier to do business are also helping to support our growth for the long-term. Commission expenses increased $19 million, or 9% in the second quarter compared to last year, driven primarily by the increase in just written premiums and the increase in estimated agent incentive costs related to profitable growth. Similar to the first quarter, our statutory combined ratio for the Property and Casualty Group continue to be significantly better in the second quarter of 2015 compared to the prior year. The Property and Casualty Groups did not have any major weather-related events in the quarter and has had some favorable developments from prior accident year claims. As you may recall a large scale event in May of last year caused this combined ratio to escalate in the second quarter of 2014. Therefore our estimates for the profitability-based agent incentive payout were higher in this quarter than last year's second quarter. Non-commission expenses increased $7 million or 7% in the second quarter compared to last year. Investments in technology, expenses related to our employee pension plans resulting from the continued low interest rate environment and higher projected employee incentive payout based on the current projected levels of profitable growth for the year were the primary drivers of this increase. Indemnity's income from investment operations was $16 million compared to $7 million last year as a result of an increase in one of our private equity limited partnership investments this quarter. Please keep in mind limited partnership earnings tend to be cyclical in nature and difficult to project. Finally our strong cash flow has enabled Indemnity to pay $32 million in dividends to our shareholders in the second quarter of 2015, representing a 7.2% increase over 2014. I will now turn the call back over to Terry.
Terry Cavanaugh: Thank you Marcia. Before we take your questions, I am pleased to announce the recognitions we received since our last call. In June, A.M. Best affirmed the A+ superior rating for the Property and Casualty companies. We've enjoyed a rating of A excellent or better since 1939. Furthermore A.M. Best affirmed the A excellent rating for Erie Family Life. Last month JD Power released the results of the 2015 auto insurance study and Erie received the highest customer satisfaction ranking for the Mid-Atlantic region. We also continue to be ranked in the high satisfaction tier in the North Central region. Our increase in overall satisfaction was driven by improvements in policy offerings, interaction, price and claims. Finally the recognition that makes us especially proud is the great rating we received on the Great Places To Work study. This rating is calculated from survey feedback from our employees and highlights what makes their workplace culture great, in areas like professional development and training, company atmosphere, benefits and rewards. While all these recognitions are fantastic we recognize that the true value of all recognitions is to serve as a constant reminder of how important it is for us to be above all in service. Thank you. And I will now turn the call over to the operator for your questions.
Operator: Thank you. [Operator Instructions]. We do have a question from Charlie Smith of Fort Pitt Capital. Your line is open.
Charlie Smith: Good morning, thanks for taking the question. I wonder if the company has any broad thoughts with regard to both the threats and the opportunities that go with automated vehicles and cyber security of vehicles that we have been reading about a lot in the press over the past few weeks?
Terry Cavanaugh: Charlie, we are actively researching the evolving technology in the automobile space as well as quite frankly the homeowner space and the building space. We are on -- we are seeing some interesting opportunities in that area as well as the share in the economy et cetera. So I think it's early days to just to wrap our arms around what exactly that will present to us in terms of opportunity from an insurance standpoint as well as any ultimate threat. I think the cyber piece of it is again relatively new in terms of again what we are hearing about those issues. And so I can have you rest assured though that we have people both internally and we are working with external consultants to make sure that we stay on top of this issue.
Charlie Smith: Okay. I would encourage you, when you do formulate sort of maybe a broad policy within the company, you produce some sort of a white paper that outlines that strategy.
Terry Cavanaugh: I appreciate that feedback. I mean we are always balancing and obviously need to be a good partner with our customers, our agents and the community at the same time making sure that we have competitive capabilities that will serve all of us well.
Charlie Smith: Okay, thanks a lot.
Operator: Our next question comes from Katelyn Young of William Blair. Your line is open.
Katelyn Young: Thank you. I am in for Adam Klauber and sorry I joined a little late, sorry if you touched on these points. But just a few questions for you. Can you just give us a little bit more color on how the homeowners and commercial business is going? Specifically just looking at the homeowners growth, 7% for this year, sorry, this quarter or last quarter versus a little bit stronger in the last two years. Can you just tell us how that's escalated?
Terry Cavanaugh: Specifically the homeowners line of business.
Katelyn Young: Yes.
Terry Cavanaugh: Yes. I think we have obviously -- if you have followed us and followed the industry I think there has been a pretty recognition to be able to have adequate rate and the rates have grown pretty dramatically in the homeowner line over the last several years certainly with us and within the industry. And I think we are now finding ourselves in a position of a better rate picture that is not requiring us to take as much aggressive rate action from that standpoint. So I think that's the primary driver to that. I am still very pleased with the growth number. I think we are seeing it again and we are also very pleased again with our strong retention number. Again I think with the combination of the two we saw a very good model.
Katelyn Young: All right. And then what increases are you seeing in auto specifically?
Terry Cavanaugh: Again it varies by state and actually by company and class of business. And so again we would say that low single-digits.
Katelyn Young: And then loss experience in autos, any increase in frequency there or do you see any changes?
Terry Cavanaugh: We are seeing a little bit. I think our numbers would indicate it. But again obviously miles driven are moving up. We are seeing -- there is some concern about distracted driving and things of that nature, nothing significant. We stay on top of it and we think we are in good shape from that standpoint.
Katelyn Young: So even with miles up, is frequency following that or are you seeing something from that?
Terry Cavanaugh: Yes. I would say that we are not seeing anything [anomaly] from that standpoint. The industry is seeing the same activity.
Katelyn Young: Sure. Okay, great. Thank you. That's all I had.
Terry Cavanaugh: Thank you.
Operator: Thank you. I am not showing any further questions in queue. I'd like to turn the call back over to Terry Cavanaugh for any further remarks.
Terry Cavanaugh: Okay. Thank you. I would like to thank everyone for their time this morning. As we look ahead to the second half of the year on track with our strategic initiatives and I believe we are well positioned for continued long-term operating success. Thank you for your interest and have a great weekend.
Operator: Ladies and gentlemen thank you for participating in today's conference. This concludes today's program. You can all disconnect. Every have a wonderful day.